Operator: Begin the presentation, our fiscal year 2023 First Quarter Financial Results of Nissan Motor Co., we deeply appreciate the heavy attendance. The company is represented by our President and CEO, Mr. Uchida Makoto; and CFO, Mr. Stephen Ma. First of all, CEO, Mr. Uchida will give the highlights. Please go ahead.
Makoto Uchida: Ladies and gentlemen, welcome to the announcement of Nissan's first quarter results for the three month period ending June 30, 2023. Let me say a few words before presenting the results of the first quarter. As you have seen in the press release, Nissan's financial performance for the first quarter improved significantly from the prior year. Net revenue increased 37%, which is highest ever in Nissan for the first quarter. Operating profit increased by 98% and net income was up 124%. Despite multiple challenges including the pandemic and global chip shortages, we have seen continuous progress toward the goals of Nissan NEXT transformation plan. This has enabled us to steadily transform our business to a level that enables us to deliver the expected performance in many areas. However, it does not mean that everything is on track. Our Chinese operation that has been contributing to the company's growth is currently facing significant challenges and saw a big decline in sales for the quarter. We believe that it will take some time for our performance to recover in the market. Given the circumstances, we will revise downward the full year forecast of our sales in China as well as globally. However, in view of positive factors such as foreign exchange, we are making an upward revision on the revenue and profit for the year. Now I would like to ask our CFO, Mr. Stephen Ma, to present the results for the first quarter and the full year guidance for fiscal year 2023. Later, I will give you an update on our China business. Stephen-san, the floor is yours. Stephen Ma Thank you, [Jess-san] (ph). Hello everyone. Before I begin, let me take a moment to express my gratitude to all Nissan stakeholders for your support enabling us to deliver strong performance while keeping our focus on quality of sales. Looking at the volume in the first quarter, global retail sales decreased by 3.7% year-over-year to 789,000 units. However, excluding China, we achieved growth of over 20%, which was driven by all regions with Japan and North America leading with double-digit growth. The rapidly changing automotive market in China remains challenging, especially in the January to March period. And in addition to the regular seasonality, retail sales decreased significantly by 45.8%. Global production increased by 4.4%, as we continue refilling the pipeline to serve customers worldwide. However, inventory levels remain lean, excluding China, production increased 30.5%. This slide shows our key financial performance indicator for both equity basis and China joint venture proportionate basis for the first quarter. On an equity basis, net revenues increased by 37% to 2.92 trillion yen. Operating profit for the period increased to 128.6 billion yen, with an operating profit margin of 4.4%, as we progress solidly with the good initiatives established as part of our transformation plan Nissan NEXT. In this regard, I'm very pleased to share with you that again, the automotive segment continues profitable path and contributed 34.4 billion yen in the operating profit for the quarter. Net income totaled 105.5 billion yen. Free cash flow for the automotive business was a positive 109.4 billion yen. Net cash for the automotive business came in at a healthy level of 1.35 trillion yen. On a proportionate basis, which includes our China operation, net revenue rose to 3.11 trillion yen from 2.48 trillion yen last year. Operating profit was 130.5 billion yen, representing an operating margin of 4.2%. With free cash flow for the automotive business reaching a positive 103.7 billion yen and a net cash for the automotive business of 1.68 trillion yen, we continue to produce result and are on track -- on the right track. Now I will cover the performance of our key markets. In Japan, retail sales increased 19.1% to 106,000 units. Thanks to the launch of a new Serena e-POWER in April, total sales for the Serena increased 130% for the quarter. Furthermore, the total electrification ratio improved 12 points to 54%. Net revenue per unit increased by 20% from the prior year Q1. Production volume increased 69.6% for period due to the improved supply of semiconductors as well as the recovery from the lockdown in Shanghai in the prior year. In North America, retail sales and production volume increased by 33.1% and 35.6%, respectively, for the quarter. This growth was primarily driven by our top selling models, the Rogue and the Sentra. Our quality of sales initiative continue with net revenue per unit increasing by 6% year-over-year. To pursue our path to sustainable growth in the U.S., we continue to focus on the quality of our overall business. In Europe, despite the constraint in logistics, retail sales grew by 7.2% and production volume increased by 14% for the quarter. Net revenue per unit increased by 24% year-over-year. Our electrification ratio increased [27 points] (ph) to 35% due to the strong acceptance of our e-POWER models. In China, in the first quarter, sales and production volumes were significantly down impacted by the pandemic, seasonality, and severe pricing action within the market. We elected to prioritize our quality of sales with which led to retail sales of 162,000 vehicles for the January to March period and 196,000 from April to June, which is I will go into more detail later regarding the status of our China business. Let's have a look at the income statement for the three months ending June 30, 2023 on an equity basis. Net revenue increased by 780.4 billion yen to 2.92 trillion yen. And operating profit increased by 63.7 billion yen to 128.6 billion yen, representing operating margin of 4.4%. Non-operating income, which includes equity method company, totaled 38 billion yen. Extra ordinary losses totaled 37.4 billion yen, including a non-recurring loss related to litigation. Net income increased to 105.5 billion yen, as a result of the improvement in operating profit and updated tax assumptions. This slide shows the adherence factors from the first quarter of last year to this year. Foreign exchange had a positive impact of 2.2 billion yen, primarily due to the strong U.S. dollar, which was partially offset by emerging market currencies. In general, raw material prices decreased with exception of battery related materials such as lithium. Sales performance had a positive impact of 160.7 billion yen driven by the strong increase in volume and continued benefit from the strong execution of Nissan NEXT with a clear focus on quality of sales. Monozukuri costs had a negative impact of 19.2 billion yen and other items had a total negative impact 82.9 billion yen, including negative impact from sales finance as used car pricing and net credit losses begin to normalize, as well as other timing related items. As a result, operating profit for the quarter improved to 128.6 billion yen. The automotive industry continues to face challenges in a rapidly changing market environment in China, as evidenced in our year-to-date retail sales performance. To account for this recent development, we decided to lower our sales volume forecast for China to 800,000 units. Despite the challenges in China, we anticipate continued improved performance in our core markets of Japan, North America and Europe, which mitigates a shortfall in global volumes to a total of 3.7 million units versus the previous outlook of 4.0 million units. Looking at the financials, reflecting the depreciation of the Yen versus U.S. dollar for the first quarter, we updated our foreign exchange assumption and increased our financial outlook as follows: Net revenue from 12.4 trillion yen to 12.6 trillion yen. Operating profit of 550 billion yen, which represent an operating profit margin of 4.4%. Net income of 340 billion yen. To summarize, we started into the fiscal year 2023 with a solid results and we are confident for the coming quarters. We remain committed to the Nissan NEXT transformation plan in order to continue this recovery and deliver sustainable growth. I will now hand to our CEO, Uchida-san.
Makoto Uchida: Ma-san, thank you very much. Let me elaborate on our approach to the Chinese market. Since Chinese operation is managed on the calendar year basis, we have the results for the first six months. As I said in the beginning, Nissan's unit sales dropped significantly in the first quarter. One of the reasons is the emergence of rapidly growing new energy vehicles offered by the local brands. According to our own research, as shown in the table on the right, the share of the new energy vehicles offered by local brands has been growing significantly in the past few years and accounts for 25% of the total market in the first half of the fiscal year. The ones that are losing ground are mainly non-new energy vehicles of international joint venture brands including Nissan. The share of non-new energy vehicles of joint ventures declined from 61% in 2020 to 40% today. Addition to these market changes, the first quarter was also impacted by the decline in overall demand as well as a severe price wars in anticipation of the introduction of new emission regulation applied to internal combustion engine. Our sales in China continued to fall year-on-year in the second quarter. However, the rate of decline became smaller with slight easing of these trends. Moreover, our sales volume rose quarter-on-quarter and our showroom traffic is increasing. We intend to keep the momentum and makeup for the loss in the latter half of the year as much as possible. In this context, the new models that are launched this fiscal year will be playing a critical role. We aim to capture the demand with new energy vehicles and strong product in the C segment, which is the main battlefield. These new energy vehicles include the entry model Aria and the first plug-in hybrid of our local brand Venucia, both introduced this month C segment cars are the all new X-Trail, e-POWER that was introduced in May, and the all new Qashqai, which will be launched next month. As I said back in May, our strategy is to maximize the use of existing local assets and carry out necessary reforms with speed. Our focus is particularly on the customers who have been Nissan users for long years. We have sold more than 15 million units over the past 20 years. There are many Nissan owners in the market. It is very important to offer a wide selection of internal combustion engines that is still in demand, as well as new energy vehicles so that our valued customers continue to choose our brand. Timely introduction of high value products that are as competitive as those of fast growing local brands at attractive prices is what we need. The key is our business that encompasses the entire value chain including parts sourcing, designing, development, production, sales and after sales. This is our strength. The photo on the right is Dongfeng Nissan Technical Center, one of the Nissan's global development bases established in 2006, where all the vehicles under Venucia brand are developed. Chinese customers' needs are diverse. There are many first time buyers among new energy vehicle intenders. In order to capture these customers, it is strategically important to develop more competitive products by using know-how and competitive assets that we have been building locally for Nissan brand. Along with my relevant executive team, I have held intense discussions with our joint venture partner during my recent visit to China. We agreed to accelerate the introductions of new energy vehicles by utilizing local assets for Nissan brand. I will present the concrete plan when we unveiled the next midterm plan that we aim to announce around this fall. We have already decided to launch several new energy vehicles from the next fiscal year onward. We will further strengthen our line-up and increase our competitiveness. Today, we are producing vehicles in China. Unfortunately, the current sales outlook falls largely below the production capacity. Utilization rate of some plants remained low. On the other hand, we are facing production constraints in other regions. There are models of which supplies are falling short of demands. Therefore, we will explore opportunities to optimize the global business by considering vehicle production for the Chinese market as well as possibility of using the plants in China for other destinations to complement the global production. This is our approach to the Chinese market. Changes in the market are not limited to China. Markets are changing around the world. This month, Nissan decided to include the leaders of the key regions and the product planning as the executive committee members. The intention is to ensure speedy decision making and increase our competitive edge in each market. I would demonstrate strong leadership while delegating authority to the rest of the executive committee members. This is how I am going to build the united agile and vibrant team. The leadership team is also leading the ongoing initiative of cultural transformation to enable our people who are the company's greatest assets to show their full potential. Nissan is recognized as a great place to work in Canada, the United States, Argentina, Brazil, Chile and Peru. This demonstrates that our efforts to transform the corporate culture are bearing fruits. The world is changing dramatically with the new leadership team, Nissan will continue providing values that only Nissan can offer to the customers around the world. Today, Nissan signed the definitive agreements regarding new initiatives that are intended to elevate this partnership with Renault Group to a higher level. Though it took time to conclude, we were able to reach an agreement that is beneficial for both partners as a result of thorough discussions. We intend to further improve our corporate value and ensure sustainable growth by maximizing the use of the partnership that reached the new stage. Thank you for your attention.
Operator: Now, we'd like to proceed to the Q&A. [Operator Instructions]. [Yemenisan of NHK] (ph).
Unidentified Analyst: Are you connected? Do you hear me? This is from NHK. Yes. First, the first quarter numbers, revenue is record high for the first quarter. Operating profit and other numbers are very strong. And the results of Q1, how do you assess it? And what are the reasons behind this result? And also, the sales of each region Japan, North America, and Europe are fine, but China is pretty tough, right? So, how do you perceive the sales performance in these regions? This is my question.
Makoto Uchida: Thank you for your question. Q1 result, how do I assess it? In Nissan NEXT, we have been enhancing quality of sales, and this is delivering results. As you may be aware, business climate is extremely challenging and despite these circumstances, financial results of Q1 were pretty strong. Thanks to the result of the enhancement of the quality of sales driven by our employees and ahead of each regions and operations. Regional sales, Stephen was talking about this earlier, compared to prior year, 19.1% growth in Japan, 33.1% up in U.S. and 7.1% up in Europe, and the biggest challenge lies in China. This is what we described. Again, such backdrop, new models are appreciated by the customers today. That is why the net revenue per unit is increasing. And our earning abilities with the automobiles is increasing or enhancing. But, like, [proactively] (ph), in Nissan NEXT, in 2023, 5.4 million units was what we are shooting for, and 6% market share was what we were initially expecting to deliver. Including China, the operating profit 5% was a milestone, and compared to these milestones are basic volume, fundamental volume requires further efforts so that we can boost the number. And because of this, business circumstances are largely changing while regions, Central and regions are working together. And that is why we included the head of the regions and the head of the product planning and EC, exit committee and discussing how to grow in the changing market and what kind of strength should be increased and what kind of weaknesses we need to address. That’s what we have been discussing intensively since July. So, in that sense, this fiscal year 2023 will be a very important year for us. First, we need to boost the volume that we have today and ensure healthy, free cash flow, or even enhance it. That's a challenge. And for earning abilities of automotive segment is what we need to develop as well. And in the changing business circumstances, we need to ensure sustainable growth in the future, including the fundamental volume. This is the biggest topic. With regards to China, as I described, according to our expectation, the Chinese market the intensifying competition has largely affected, especially the new energy vehicle is a segment where we need and we believe that proposing the new way of working will be very important to ensure sustainable growth. For 20 years, we have been working together with the partner. But if we just do what we have been doing in the past, I'm not sure whether we can do effectively in China, we need to largely change ourselves. Based on this decision in the beginning of this month, we agreed with the joint venture partner on this directionality. And in the internal meeting, we approved some of the new energy vehicle plan. This is how we would like to change Nissan to adapt to the business circumstances with speed. This is the most important thing for Nissan. Thank you.
Operator: Okay. Moving on to the next question. [Asahi Shimbun, Kondo San] (ph).
Unidentified Analyst: Yes. This is [Kondo from Asahi Shimbun] (ph). Do you hear me?
Makoto Uchida: Yes. Go ahead.
Unidentified Analyst: Yes. Thank you. I would like to know about China and U.S. One question per each location. Chinese market, local partner, you said that you are accelerating the introduction of new energy vehicles, but including the local brands, the new energy vehicles segment is under intensified competition and the value of the vehicles including the software is totally different from what you have seen in the past. Competitive landscape is likely changing after next fiscal term, while this year there is a big downturn in the sales? And as a result of the reforms that you are planning for, can you recover your performance in China. It depends on the product plan. So what's a projection in China going forward? That's my question. And the second one, North America. In North America, you are delivering solid sales performance. Having said that, here again, electrification, there's a shift to EV. It may top 1 million units this year. And you need to address this because this is an eminent challenge. In Canton Plant, you announced to introduce Bev after 2025 onwards. For this year and next fiscal year, can you expect to boost the sales volume in North America or you need to address the shift to electrification in anticipation to this, including the battery sourcing, what's a projection in North America, and what are the challenges that you are addressing, and what are you doing to approach it? Thank you.
Makoto Uchida: I said about China earlier, this is just our projection. For example, EV in China and a new energy vehicle in tenders, are conscious about the prices of the vehicles. At the same time, they are also new technologies is what they are looking for, including the appearance. These are the needs of the customers in China. So, look we will use the -- we will work together with the DNTC whom we have been working because this is the entity who has started the Venucia brand from the scratch while working with the team locally, we would like to launch the new cars that cater to the needs with speed. And will this immediately improve the performance? Of course, we have been discussing many plants. But in order to introduce new models, it'll take some kind of a lead time. So, what's important is in fiscal year 2023, as I have described, we need to recover with the lineup that we have planned for this year. And 2024, 2024 will be the most important year for us. Well, this is our expectation, by the way, our own expectation probably. Local makers in China will be growing stronger and they are going to be strong and emerging in the rest of the regions as you may have seen already. So, in these circumstances, we need to enhance the cost competitiveness and enrich the line up at the same time and deliver them in a timely manner. This will be the determiner for our survival in China. So that's what we would like to discuss and visualize it in the next mid-term plan. Therefore, does this mean that we are optimistic? Not at all. It's the other way around. We are increasing the sense of urgency. And under the new leadership, we would like to do with speed with delegation which is necessary. This is the most important factor. And your question about North America. North America too, there's a big shift to EV. In terms of regulations, that is what is encouraging the shift of electrification as well. So we already have a plan, but is this plan sufficient? No. We need to look for other actions and ingenuity. And this is in part of mid-term plan and beyond. We already started discussing about it in the mid-term plan and beyond. And in August, we involve relevant executives to discuss what is the speed of the strategy for electrification in China will be discussed. And here again, at the time of MTP, if I may, at MTP announcement, we would like to make sure it will be visualized. That's our intention. The key is that we cannot just stay as it is. In Nissan NEXT, we have been enhancing quality of sales and make sure that the customers are appreciating our cars. So, next is how to adapt to the market circumstances with flexibility that will be the determiner. So, mid-term plan and beyond will be the important strategy. Nissan ambition 2030 is just a vision. So, in the next mid-term plan, we need to translate what we are envisioning in Nissan ambition 2030 and envisage the plan for the growth going forward. That's the key.
Operator: Alright. Okay. Thank you so much. Moving on to [Nikesh Shimbun, Kawa Misan] (ph). Please go ahead.
Unidentified Analyst: I also have a question on China and another question regarding the investment in Ampere. Regarding the China market, yes, there's intensified competition with local companies and also at the risk of repeating from the second half to next fiscal year, your forecast is decline in sales. How have you factored in the economic factor of China into your revised outlook? There has been behavioral reform. announced by other companies, do you have any plans for such reform? The second question is Ampere investment. Strengthening the technology capability. Yes, that applies to Europe. But what about the U.S. and China market beyond Europe. How do you leverage how will you leverage the technological capability of Ampere? On your second question, you said -- what did you say the local technology capacity. Ampere investment will lead to technological synergy. So, do you intend to leverage that synergy strengthening not only in Europe but beyond Europe in China and the United States.
Makoto Uchida: Thank you very much for the question. On China, again, this question was on China. One of your questions on China, first of all, Q1, Q2. When we analyze the China market, I believe there were several factors. Price competition intensified and as you are well aware, since late last year, the subsidy regarding the NEV company, there was much news and therefore in Q1, consumers hesitated to purchase. That's our analysis. And that trend has come down, for example, emissions regulation July rule. That was already factored in. And there has been a slight postponement. So, the market situation has changed quite dramatically, and that has appeared in Q2. So, in terms of TIV, Q3 and Q4, China, if we compare that to Q1, we see prospects for further growth. However, in this context, we have to offer competitive models by insuring chips so that we can satisfy the customers. And it's not going to be that easy to regain performance in the China market. So, we revised downward our outlook. But of course, within the company, we are discussing how we can gain back our performance in China and then how we can also drive that recovery to future growth. And I think that will be one of the points to be prioritized. If necessary, Steve, would you like to add on to what I said on China later? But let me respond to the second question first before I give the microphone to Steve. On equity investment in Ampere, as I have been saying, in the market, we have to change the way we do things. So the most recent example is China. A major historical turning point was reached China was a big change and China was a big trigger for us to determine that we need to change significantly. And similarly, and by the way, this is purely our own analysis, but similar trends will surely occur in North America. And regarding European regulations, there will be further progress and evolution. So, we will invest in Ampere, and that would lead to inter-complementarity. And as we try to implement our strategy, this will offer us many advantages. More bluntly spoken, our resources are limited. So how do we allocate our resources and what do we do in each market with our partner? That is the context in which we decided on investment in Ampere, we have to visualize that resource allocation and that also includes the review of how the strategy we have implemented so far. We have a history, we have the legacy and we tend to be bound by such legacy as we look at business future. And I blame myself for doing that, but looking at how the market is changing at the moment, how do we allocate our resources? What do we do? And how do we do? I think that would be the priority for the mid-term plan and beyond. So in that sense, I truly hope that we can demonstrate that in our mid-term plan announcement. And in many ways, customers’ needs is changing and the speed is different market-by-market. In terms of Ampere investment in Europe, this is an advantage. And it would strengthen our electrification strategy. Software is the UV day will be putting much efforts. LCV, in our LCV market, there would be support not just in the European market, but that would lead to our advantages and synergy in other markets outside of Europe and we will clearly find and visualize those advantages going forward.
Stephen Ma: On China, yes. Thank you, Uchida. I think you said most of it, but as we mentioned, in the Q1 January, there was, as you know, increase in COVID cases in China, so we got affected by that. And then no more seasonally, like, Chinese New Year in February. And then as you all know, the big price war started in end of February and March was intensified with many extreme measures taken by some automakers. In Q2, I see the market has calmed down a little bit. You can see that our sales decline percentage lowered. It's still a decline, but it's not as severe as it was in Q1. So, based on what we see in Q2, we have projected into Q3 and Q4 and all of those assumptions are fully baked into our revised outlook for the full-year. So, all the economic consequences are now considered. As Uchida mentioned, we have several new models that we are bringing to the market of which one is EV and one another one is hybrid, and then we have couple of other vehicle, so these four new models are very attractive. So, hopefully, we will see some improvement in the sales in second half versus first half. Thank you.
Operator: Okay. Thank you so much. Okay. Moving on to the next question, Automotive News, [Hans Sun] (ph).
Unidentified Analyst: Hello. This is [Hans Crimmel] (ph) from Automotive News. Thanks for taking my question. I would like to ask a little bit about the inventory status and the production and the idea of maybe using the production capacity in China to export maybe to other markets. I see that according to your inventory analysis or a status, the inventory keeps climbing over the last couple quarters, and it's still about half the pre -- let's say, pre-COVID inventory. What is the optimal level of inventory that you want to achieve? Are we getting there? Are we close? And I'm concerned a little bit about the fact that production seems used to be balanced with sales. Now production seems a little bit more than sales. How do you plan to use China then to -- as it perhaps an export based other markets, what other markets might you export to. And is the United States possibly a destination for some of those exports.
Makoto Uchida: Thank you for your question, [Hans Sun] (ph). With regards to possibility to export from China. That's what we are considering. We haven't -- we are not ready to talk about the details. We are just considering the possibility of exporting from China. In other destinations, for example, in fiscal year 2023 in Q1, Japan, U.S. and Mexico and UK, utilization rate in these plants are increasing. And in the second quarter, by the way, the shift. If you look at the current shifts, work shifts, utilization rate will largely increase. Therefore, there's an unmet demand. So, we are we'll be adjusting the production of each location and inventory that you asked about. Today, in Q1, inventory is piling up and there are some reasons behind it. As you can see in the slide, 470,000 units is the number we have. Because in the first quarter, since last year, this was the case, by the way. Logistics constraint is what we are facing. Therefore, we are unable -- some of the vehicles are in transit. And compared to the prior year, excluding China, in many regions, we have increased the sales, but we plan for more. So, there are many customers who are waiting for this in some of the destinations. For example, vessel shortage, for example, is one constraint. And North America inter outbound is short of supplies for some of the models. So that is why the inventory is growing a little bit this fiscal term Q1. We will continue optimizing the inventory and adapt to the needs of the customers and make adjustments accordingly. This is very important. China, needless to say, capacity in China remains low in terms of utilization rate. So, for the destinations with unmet needs, we are just considering possibility of exporting. We haven't determined the directionality. I hope you understand this. Inventories looks like it's piling up because of these reasons that I described. Going forward, we would like to optimize the inventories. This is my answer. Thank you.
Operator: Thank you. Okay. Moving on to [Indiscernible].
Unidentified Analyst: Thank you for taking my question. I have two questions. The first one is investment in Ampere, earlier, Uchida San you said that it took time to conclude the definitive agreement. What kind of discussion did you spend time on in particular? And the other one, it's not directly related to the financials. Recently, Big Motors is involved in the scandals. And how do you see this. Why am I asking this question? Because this scandal in Big Motors is that this is affecting the insurance premium of the customers and customers may be hesitant to buy cars or own cars as a result because this may have a ripple effect on the automotive industries. So as a car maker, could you give us a perspective of how -- what do you think about the scandal of Big Motors? Thank you.
Makoto Uchida: The first question, why Ampere? Well, the definitive agreement, why did we spend more time than we expected. On February 6, we announced the framework agreement and since then we said that we are targeting at the end of March but now we are here end of July. What are the reasons? There are some reasons behind it. In the discussion with our partner, by changing the way we work, to ensure growth of each partner and escalate the alliance. That was the intention of this agreement. So from this perspective, for example, Renault and Nissan does the rebalancing. Why do we have to be on the equal footing? Because in the current business climate, we need to grow in the main battlefield. And to this end, we need to build our own strategy or we may have to look for our partners. In this process, to start with alliance has been fair and equal, but they were contractual. Of course, capital participation was part of the equation. So, by ensuring equal partnership, we are translating this to the growth of each entity. It's not only Nissan, but the market is forcing us to do. Looking at the current market, as you may be aware because I have been saying this many times. Traditionally, Nissan used to have a business model not another platform, business model in Japan. We build something in Japan and deliver it into China, U.S., and Europe. But going forward, this no longer -- this does not cater to the needs of the customers including the speed that is required. So, we need a big transformation on this front. So that is why we are holding this such discussion with the partner. So in anticipation of the future, we may -- we had a lot of additional discussions where we have to spend time on. And there's another thing. For 23 years, we have a partnership with Renault and including intellectual properties, clear rules, and in order to adapt to new business circumstances, and transform the company, what should be the basic role and hold the discussion based on the partnership? This was the and we had to discuss on the wide ranging aspects and this took time for us to discuss. And this is more mentally the courage to change, including myself, courage to change was challenge, we tend to take into account what happened in the past. But past is past, so we need to focus on in the future when holding a discussion. That's where we spend time on. There were many opinions within the company and understanding different opinions, we decided to move on to the next step and be aligned. That took time. But what we discuss with the partner is that, we need area where we need a clear contract. And there are aspects where we have to work together with the partners and decide what to do as we do. So, after we conclude the definitive agreement, we wanted to focus on discussing about the future growth. So, since middle of June, we have been increasing the speed. And now we were able to sign the definitive agreement. That's what happened. Second question. Customers we need -- we should be faithful in front of the customers. We need to address the customers with face, and that should be done thoroughly. It's a matter of course. But we need to serve our customers with integrity. Otherwise, we are unable to fulfill our responsibilities as a company, this is very important. So, if there were such an issue on this front, I want the company to address it. That's what I expect. Of course, we had many things that happened in the past, so we will continue doing inspection and may put customer first. This is very important for Nissan as well.
Operator: Last question, Bloomberg, [Indiscernible].
Unidentified Analyst: On China market, I have a few points. You said that you will frontload the introduction of [CM cars] (ph). And will this be the bottom of sales and for fiscal year 2024 sales will be positive on year-to-year. And you've revised upward the profit for the full-year. How have you factored in the exchange rate and the review of the sales? Can you give us a more detailed breakdown? What factors positively contributed in how many yen and what factors contributed negatively in how many yen. On the second point I will leave it up to Mr. Ma, CFO. Please go ahead.
Stephen Ma: For the revised outlook, as you saw, except for China, rest of the region, the volume increased about 30,000 units since the previous guidance. So, with that, I took a number of roughly 10 billion yen improvement in profit on the 30,000 units. On top of that, the Q1, as you know, the yen was very weak. So, it was weaker than our regional outlook. So we got roughly 20 billion yen better. So, the 20 billion yen of Q1 I took plus additional profit from the 30,000 more units, so that's a 30 billion yen increase. We kept the remaining quarter Q2 to Q4, still at 1.30 yen to the $1. So, obviously, if yen stays at the current level, we have a little bit opportunity if that happens. Hope that's clear.
Makoto Uchida: The first question. Right. Going forward, we will be changing the way we do the Chinese operation. Unfortunately, our sales are declining and will this bottom out? I think this was your question. It depends on how China market will evolve. 2024 will be the year where we will continue carefully monitoring. In 2024, the Chinese market competition may intensify. That's how we see it. Given in this context, how to sustain and grow our Chinese operation will be our key challenge. So, by changing the way we work, will this solve all the problems? I don't think so. We need to cater to the needs of the customer through products. And if we consist them in these aspects, we need to address this. Otherwise, we will not -- we should be ready for the speedy evolution of the Chinese market. Of course, I want to make changes for the better, but China market remains challenging because we anticipate many changes going forward. So as of today, we will just focus on what we can do now. And for the future growth, we would determine what we should do for the future growth and show it to you when we are ready.
Operator: Thank you so much. Okay. We ran out of time. So with this, we would like to conclude the session. Thank you for joining.